Operator: Good afternoon, and thank you for waiting. Welcome to Companhia Paranaense de Energia-Copel's Conference Call to present the earnings of the second quarter of 2014. [Operator Instructions] Before proceeding, we wish to clarify that forward-looking statements that might be made during this call related to the business perspectives of Copel, operating and financial projections and targets are beliefs and assumptions of the company's management as well as information currently available. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties and assumptions as they refer to future events, and therefore, they depend on circumstances that may or may not occur. Investors should understand that general economic conditions, industry conditions and other operating factors may affect the future performance of Copel and may lead to results that differ materially from those expressed in such forward-looking statements. On this call, we have Mr. Lindolfo Zimmer, CEO of the company; Mr. Antônio Sergio Guetter, CFO and Investor Relations Officer; and Mr. Sergio Luiz Lamy, President of Copel GeT; and Vlademir Daleffe, President of Copel Distribuição. The presentation that will be made by Copel's management may be followed at the company's website, www.copel.com/ir. Now we would like to give the floor to Mr. Lindolfo Zimmer, CEO of the company.
Antônio Sergio De Souza Guetter: Good afternoon, and this is Antônio Guetter, CFO and Investor Relations Officer. First, I would like to welcome you all to the call that will be presenting the second quarter of 2014 earnings of Copel. First, I would like to thank you for your presence, for the presence of those who follow this call, and I would like to mention that it is always a great, great pleasure to talk to you. I will be speaking slowly so that the interpreter may follow the presentation. 2014 has been a year of many challenges to the electric -- Brazilian electric sector because of the below-average rainfall, especially in the regions with the largest reservoirs. And the fact together with the delay in the construction of many plants, it has been bringing pressure on energy prices with a direct impact on customers. Tariff adjustment of distribution companies is one example of that with more expensive energy. ANEEL has been authorizing significant adjustments to all companies in Brazil. And in the case of Copel Distribuição, the agency established a more than 35% adjustment. However, after a request by the company, ANEEL authorized the application of an average adjustment of 24.86% and the deferral of the remaining percentage, which will be restated by the IGP-M and recovered in the next tariff adjustments. In relation to the highlights of the third quarter -- the second quarter, as you can see on Slide #3, our net income was BRL 248 million, in line with what we delivered the same period last year, a minimum difference on a year-on-year basis. Consolidated revenue grew by 48% and exceeded BRL 3.1 billion, whereas the EBITDA closed the quarter at BRL 467 million with a 6% increase. And this result is once again explained by the performance of our generating company, especially by the sale of energy in the spot market and also the sale of energy produced by Araucária Thermal Power Plant that is, once again -- or that February this year started again to be operated by UEG Araucária, a subsidiary of Copel, and sold about 417 average megawatts between February and June 2014 or the equivalent to this amount. In spite of the growth in revenues, costs with the purchase of energy once again impacted the consolidated result. And perfectly [ph] only the second quarter figures, they went up incredibly, 77%, driven by the costs related to the thermal contracts and the recontracting of energy in the A-1 and A-0 auctions. And the price of energy in these auctions was established at higher levels. On the positive side, the Captive Market of Copel Distribuição had a good performance and accrued 6% increase in the first half of the year, whereas the consolidated payroll costs were 5% lower in the first half year. In fact, that is in line with the objective that we drafted in the sustainability plan of the Distribuição company for 2014 and '15. Lastly, we should stress the startup of the substation Cerquilho III is 100% Copel in the interior of São Paulo state, and the Caiuá Transmissora de Energia SPE, where Copel has a 49% stake. All together, these assets represent an increase of BRL 14 million in Copel's RAP. In the renewable energy segment, we acquired 49% of the São Miguel do Gostoso wind farm, which has 108 megawatts of installed capacity and is located in the state of Rio Grande do Norte. And we signed a partnership with WEG to increase the Palmas wind farm in the State of Paraná. Very well, these were the main highlights for the second quarter. Nevertheless, before we talk about the financial performance, I would like to give you some more color about the Copel Distribuição tariffs and also about the Araucária Thermal Power Plant. Now going to Slide #4 about Copel Distribuição tariffs. As you can see on Slide #4, we should stress here that the average adjustment defined initially by ANEEL was 39.71%, according to calculation available on Technical Note 193/2014, which took into account, beside the significant increase in the cost of energy, the recovery of the -- of last year's deferral. Nevertheless, by authorizing the adjustment, the agency decided to keep the deferral, and it's approving a 35% adjustment, which was slightly lower than the one that we forecast before. And as you know, we requested the suspension of the adjustment with the perspective of increase of -- or the application of a new deferral, which was authorized by ANEEL. Thus, the tariffs of Copel Distribuição suffered an average adjustment of 24.86%. The remaining percentage, which is the difference between the initial and applied adjustments, is equivalent to BRL 900 million, of which BRL 276 million refer to the 2013 deferral and BRL 622 million refer to 2014 deferral, as you can see on the slides. It is always important to stress that deferral does not hinder the financial health of the company once the deferred amount will be adjusted by or restated by the IGP-M and recovered in the next tariff adjustment. And lastly, still on this slide, I would like to draw your attention to the cost of the energy contracted by Copel Distribuição. As you can see on this table on the lower part of the table, the average cost of energy went up over 35% going from BRL 130 per megawatt hour in the previous tariff year to BRL 176 per megawatt hour in the current tariff year. And this increase is related to the increase in the cost of energy acquired during the auctions and the higher expectation of thermal dispatch over the next 12 months. On the next slide, Slide #5, we give details about the amount received by means of the transfer of the CDE and ACR account resources. As you can see, between January and April, we received over BRL 1 billion to cover costs related mainly to the involuntary exposure and also to the dispatch of thermal power plant. I would like to remind you that in the spirit, Copel Distribuição was obliged to acquire energy on the spot market due to the involuntary exposure caused by the lack of auctions to rebuild in sufficient amount the energy that expired at the end of 2013. However, by the end of April, the distribuidora [ph] acquired 388 average megawatts in A-0 auction, beginning sale to distributors in May in average price of BRL 268 a megawatt hour. After acquiring this energy, Copel DIS co is 100% contracted until the end of 2014, which decreases the need for transfers of resources from the ACR accounts. Specifically about the second quarter, we received a transfer of BRL 177 million to cover the costs referring to April, and this was the only amount recorded in the period. For the settlement of May that was postponed to the end of August due to the lack of resources in the ACR account, this transfer has already been defined at BRL 90 million, an amount that was not recorded in the quarter. And for the June settlement occurred last week, no amount was authorized for the DIS co. And before talking about the financial performance, I would like to highlight the results of the Araucária TPP, as I said before, give us significant contribution to the company's consolidated results. As you can see on Slide #6, since February 1, 2014, the plant's operation is under UEG Araucária's responsibility, a company that is controlled by Copel and that has 80% of its capital stock. And the 20% remaining, they belong to Petrobras. UEG Araucária does not have an availability contract and operate under the merchant modality, in which the revenue depends on the operation of the plant and the energy when produced is sold at the spot market. For the 5 months of operations under Copel's responsibility, the plant produced about 1,500 gigawatts hour, which brought about a revenue of over BRL 1 billion and resulted into a BRL 334 million EBITDA and BRL 245 million net income, being BRL 111 million in the second quarter, impacting directly the company's consolidated results. The plant is being dispatched in a recurring fashion. And due to the low rainfall, the plant should continue operation until the end of the year and may be requested to operate even outside the order of merit, such as was the case in June, when the spot price was lower than the CVU declared for the plant, which is BRL 572 per megawatt hour, minimum amount for which the plant sells the energy produced. Now regarding the consolidated results of Copel. You can see on Slide #7 that the operating revenue grew by 38% during the first half of 2014, exceeding BRL 6 billion. And the main drivers for this revenue hike were the 18% increase in the revenue from sales to end customers due mainly to the 9.55% adjustment applied to the tariffs applied by Copel Distribuição in June 2013 and also the 6% growth in the sale of energy to the Captive Market of Copel Distribuição during the first half of 2014. On a year-on-year comparison, also the 113% growth in the sale to distributors' accounts, stemming mainly from the higher revenues at the CCEE, due to the sale of energy of UTE [ph] Araucária and also the energy showed in the spot market by Copel GeT, which ultimately benefited by the high energy price in the period in the spot market. And the availability of the grid, which is made up by the TUSD and TUST revenues, went up by 9%, basically due to the growth of the grid market of Copel Distribuição. And the other revenues that include the revenues from construction, from telco, from gas and others, grew by 12%, reaching BRL 984 million, driven mostly by the growth in revenues from construction, BRL 626 million; and it is an accounting entry of the largest investments in distribution and transmission and also the 20% growth in the telco revenues that reached BRL 80 million in the period. On the next slide, Slide #8, we show you the operating costs and expenses for the 6 first months of 2014 with the growth of 42% on a year-on-year basis, driven in great part to the 43% increase in expenses with energy bought for resale, which exceeded BRL 2 billion. And I would like to remind you that this amount already considered the compensation of BRL 1 billion by means of transfers from the CDE, the energy development account; and also the ACR account, which were booked between January and April. The costs were charges for the use of the grid grew by 44% in the period, basically driven by the comparison basis effect. Once in the second quarter of '13, there was an extraordinary transfer of resources from the CDE account amounted to BRL 200 million in order to compensate the costs we charged for the services of the system related to the dispatch of thermal power plants outside the order of merit at the beginning of 2013. The first half of the year was marked by the increase in expenses with the purchase of gas by Compagas, which buys the fuel to supply Araucária TPP, which since February, operates under Copel's responsibility. Now payroll costs, including social security benefits, dropped by 5%, and they are detailed on the next slide, where we also detail the control of the manageable costs on Slide #9. As you can see on this chart, consolidated costs with payroll and third-party services dropped by 3.4% in the first half of the year and it -- compared to the IGP-M, 6.2% in the last 12 months. This represents an about 10% drop in manageable costs, which shows the extent of our cost-reduction efforts by the company. And the largest contribution to this reduction comes from the lower expenses with compensation and charges coming from the reduction of our headcount over 2013. And we count on 8,573 employees currently, which represents an 8% reduction on a year-on-year basis regarding our headcount. As you can also see that the reduction in our headcount continued in 2014, and 74 people have enrolled in the incentivized voluntary redundancy plan. And they left the company since the beginning of the year. I would like to highlight that analyzing just Copel Distribuição's figures, the reduction in manageable costs was BRL 55 million in the half year, which is in line with what we expected and according to our objective of saving BRL 100 million in 2014 to bring the result of the distributions company closer to the regulatory benchmark that we intend to achieve in 2015. On Slide #10, we separate the costs with energy bought for resale because, as we said, grew [ph] 43% amounted to over BRL 2 billion in the first half. The purchase of energy in the regulated market grew due to the contract of 511 megawatts in the A-1 auction held in late 2013. And the sale to [indiscernible] started in January this year in the hiring of 388 average megawatts in the A-0 auction. The sale to the distributors started in May. And in both auctions, the price of energy was established at high levels as we have already referred to. I would like to mention that the inflow of new energy contracts in order to meet the needs of the growing market and also the higher costs with the thermal power plants also had an impact as well as the monetary restatement of contracts enforced, which were restated by the inflation in the period. Besides the higher costs with the contracts in the regulated market, the cost for the purchase of energy at the CCEE grew due to the high spot price, whereas the cost with Itaipu grew driven by the increase in the amount of energy bought and also by the appreciation of the dollar in the period. Going back to our earnings on Slide #11, we can see that the consolidated EBITDA grew by 20% in the first half, amounting to the BRL 1.3 billion with a 22% margin on the operating revenue. Cash generation by Copel GeT accounted for 93% of the consolidated EBITDA, whereas Copel Telecom represented 4%, and the other companies in the group only 3%, impacted by the result of Copel Distribuição, which had a negative EBITDA of BRL 316 million in the half year as a consequence, once again, of the higher costs with the purchase of energy as we have already shown. EBITDA margin of Copel GeT reached 74%, an expressive figure; and Copel Telecom, 56%. On Slide 12, we present the consolidated net income of Copel, which was BRL 831 million in the first half year of 2014, an amount which is 28% higher than the one achieved in the same period last year. Net margin was 13%, practically in line with the results of the previous year. Analyzing the result of the subsidiaries, we can see that Copel GeT ended the first half of 2014 with an BRL 821 million net income, 48% higher on a year-on-year basis and with a net margin of 50%. Copel Telecom posted BRL 28 million net income, corresponding to a 21% increase on a year-on-year basis. Copel Distribuição in its turn posted a loss of BRL 229 million in the first half of the year, once again, the consequence of the high cost with the purchase of energy. Very well, these were the main highlights about Copel's results. However, before finalizing, I would like to make a few remarks about the startup of transmission assets and new investments in renewable energies. As you can see on Slide #13, at the end of July, substation Cerquilho III, an asset which is 100% Copel GeT; and Umuarama-Guaíra; and Cascavel -- Cascavel Norte transmissions lines were started up, as well as the substations Cascavel Norte, Santa Quitéria. All these belonging to Caiuá Transmissora de Energia, MSP [ph], where Copel has a 49% stake. All together, these ventures are already delivering an additional RAP of BRL 14 million. Besides, in the renewable energy segment, we acquired a 49% stake in the São Miguel do Gostoso wind farm located in Rio Grande do Norte with 108 megawatts of installed capacity. And lastly, we signed a partnership with WEG for the construction of the Palmas II wind farm in Paraná. All in all, these were the highlights of Copel's results. Now we would like to invite you to participate in the APIMEC meetings that we will be holding next week. For those who are in São Paulo, the event will be next Wednesday, August 20. And for those who are in Rio, this meeting will be on August 21, Thursday. You may enroll at the regional centers of APIMEC, or you may contact our Investor Relations area. Now we would like to open for questions from the audience. Now we will start the Q&A session.
Operator: [Operator Instructions] Our first question comes from Giuliano from Itau BBA.
Giuliano Ajeje - Itaú Corretora de Valores S.A., Research Division: I have 2 questions. If you have waived BRL 1 billion the next tariff year, what about the impact that this had on your appetite for new investments? What about A-5? What is your expectation for the next few months?
Unknown Executive: Thank you for your question. I like your questions very much. You asked if we will have the same appetite for investments. Of course, in this situation, the company has to review the way it invests its resources. With the limitation in resources, of course, we have to be careful. However, this does not mean that we will not continue to participate in the market in a consistent fashion, such as has been the case until now. Good opportunities will be considered. And of course, we will be willing to participate. Of course, we will have to reshuffle our investments and revise our time schedule for investments and the -- all this will require revisiting this area of investment so that we may mitigate this restriction, this limitation of almost BRL 1 billion. But I understand we will be surviving in a very healthy fashion to this moment. Because if on one hand we have difficulties; on the other, we have opportunities. Araucária is bringing this balance, and we are being able to keep our pace. So we will always pay very keen attention to investment opportunities and according to the guidelines that have always guided the company, that is to see investments that may be healthy and be a very good investment of funds. And your other question was about the participation in the A-5. Our team is prepared, and they have been tackling these issues. And up to now, we are enthusiastic about the possibility to participate. And of course, the details and the studies and the conclusion of the studies will define to which extent we can increase or decrease our appetite. But in principle, we will be participating.
Sergio Lamy: This is Sergio from Copel GeT, Sergio Luiz Lamy. Regarding GSF for the second half, 0.09 is the figure we estimate, maybe slightly lower than 0 9 now in August. But as of October, this should be going up slowly, reaching 0.094-0.096 towards the end of the year, okay?
Operator: Our next question comes from Mr. Gabriel from Safra Bank.
Gabriel Brilhante: Along the same lines about GSF, I would like to understand in generation if you intend to ask for compensation due to the impact. And if it does occur, if this request will be separately made by Copel or whether you will be doing this with the other members of the association of generating companies. And what would be the possible rationale to justify this reimbursement or this compensation?
Sergio Lamy: This is Lamy from Copel Generation. We do not have a final position regarding this theme, regarding this request to be submitted to ANEEL. We are debating this theme in the forum of the associations, [indiscernible], et cetera, and we have not come to a conclusion yet. But if we submit a request, of course, Copel will not be alone in that. Copel will be doing this together with the associations. And the rationale that seems to us to be relevant for this kind of request or claim is the quality of the thermal generation contracted with excessively high costs for generation. And the generation players are -- they are subject to this high amount in the case of a lower generation. And the planning for expansion and the responsibility for the expansion and the production of this more expensive energy lies in the hands of the regulators. So our hands are tied, and this is a risk that doesn't seem to be reasonable as far as we are concerned.
Operator: Mr. Pedro Manfredini from Crédit Suisse.
Pedro Manfredini: I have 2 quick questions. The first one is about Araucária. We saw the success of the Araucária endeavors. So what is your strategy regarding Araucária? In the past, it was leased to Petrobras for some time. So what is the alternative that you have for 2015 and '16? What are you planning to do with Araucária? The other question has to do with Colíder, whether that Colíder would have to come in the next few months in the grid. And what about construction? What about the status of this project? Could you give us an update?
Lindolfo Zimmer: This is Lindo. For -- about Araucária, of course, this year, we'll still require Araucária to dispatch until the end of the year until the arrival of the new rainfall season, the normal period. And this would decrease the chance of Araucária continuing to dispatch for the next year, but we do not know what the future holds. Maybe the situation is not as I described. Maybe it continues to be necessary. I would like to say one directive of Araucária. It operates due to security reasons for the system for the center of gravity of the south region. And from the electricity viewpoint, it might be necessary to guarantee the stability of the whole system that covers our region. So the possibility of dispatch of Araucária is higher than the merit of keeping costs, which goes beyond that. On the other hand, we expect that, with the evolution that -- of exploration that could bring gas at a lower price. This will mean opportunities for Araucária to dispatch more frequently, $23 per Btu. And it's already supplied by Petrobras, and there's nothing we can do about that. We expect to get gas that is more competitive and may allow us to dispatch more. Anyway, if it -- dispatch is integrally such as is being done, Araucária will have performed its role, giving the results that were expected by us, okay? Regarding Colíder, our project is lagging behind, in fact, and we're working, configuring the beginning of commercial operations in the second half of 2015. And this delay in the project was driven by the fact that we are not under the responsibility of the company and that we're aggravated by characteristics of the region where it is being built. Many construction activities, for instance, the dam cannot be built in a rainy season. And in that region, you have half of the year with a lot of rainfall. And other events that are not under the responsibility of the company. And because of these facts, there was a delay in the construction. So regarding this question, Copel GeT has owned energy reserves, of course, because we are very cautious, and we have to conserve [ph] to comply with our commitments. But undoubtedly, we will be submitting to ANEEL a claim for exclusion of responsibility in this regard so that we are not hindered by factors that are not under our control and that are not under our responsibility, therefore.
Pedro Manfredini: Still regarding Colíder, you said about exclusion of responsibility in your claim. So do you think the contract could be extended? If you are able to get the exclusion, can you roll it over for -- in another 6 months? Or is it just a matter of not being penalized? Do you have this facility regarding the concession extension?
Unknown Executive: Yes, we are going to submit this request as well of extension of the concession term.
Operator: Carolina from Santander.
Maria Carolina Carneiro - Santander, Equity Research: Two questions. What about the energy balance that you always make available? I don't know -- I was a little bit late connecting to the call. I don't know whether you referred to that or not. But could you give an update regarding the amount that you have available for next year without the contract that, that could serve as a hydrological hedge? And the second question, probably the regulatory agenda is rather complicated. But do you have any update regarding the concession renewal process for distribution? We know that it is only next year that we will see some movement, but you probably have talks with the regulators. So do you have an idea of the timeframe and when we will have news about parameters and the announcement about the decision of ANEEL? Any additional information about this process?
Sergio Lamy: This is Sergio Lamy. I will answer the first part of your question regarding the availability of energy next year. Then I will pass the microphone over to Vlademir from Copel Distribuição that will answer your other question. Our availability of energy for next year is around 13% of our critical guarantee, around 250 megawatts, for instance, more or less.
Vlademir Santo Daleffe: This is Vlademir. We have been maintaining frequent contact with the regulator, with ANEEL. As you know that the agency is federal, and they will -- the federal government will be defining this. And there are 2 issues involved. The main one is that the fundamentals that will be guiding this decision have already been achieved. So Copel, over the last few years, has been the national benchmark. And as you have issues involved regarding sustainability and balance, economic and financial balance, we have been able to get significant reduction, over BRL 100 million last year; last half year, BRL 55 million. If you consider the inflation, it will mean significant productivity gains. And we have already submitted to ANEEL the fact that we would be reaching the desired sustainability level up to 2016. And our projections for 2015 already -- and as ANEEL should have manifested itself about our claim for renewal that should -- having done a journey [ph] that has not happened yet. What happens is that, in a few months, it will not be possible to make the transfer of control, so to say. So all in all, our expectation is rather bullish.
Maria Carolina Carneiro - Santander, Equity Research: One last question. We have the impression that you had a positive allocation the first half since you had a partial tariff increase that you have deferred for next year. And practically, your results will be more pressured and maybe because of heavier GSF in spite of the Araucária operation. So could you please talk about your cash balance and how do you manage to maintain dividend payout policy, if there will be any change in that, if you will keep the same dividend payout that you had last year due to the pressure that we see from now on? So would you please tell us what you see as a possibility of dividend payout vis-à-vis last year's given the current situation?
Antônio Sergio De Souza Guetter: Carolina, this is Antônio Guetter. You ask 2 questions: one about the financial and economic balance. And as our CEO said at the beginning of the Q&A, we made a reassessment of our time schedule for investments, and we estimated BRL 2.6 billion. If this investment is -- we reviewed our time schedule in order to keep our cash level that is totally under control. And about the dividend policy, our idea is to maintain this policy and getting closer and closer to the average of the market. But of course, we will be assessing rather prudently and on a timely fashion the dividend payout situation. But in principle, we are favorable to maintaining the dividend payout policy that we have been maintaining at Copel the last few years.
Operator: As there are no more questions from our participants, we would like to give the floor back to Mr. Lindolfo Zimmer for his closing remarks.
Lindolfo Zimmer: Once again, I would like to thank you, all, for participating in this call. It was a great pleasure for us to present our results to you and talk about the prospective for the future. So once again, thank you very much, and I wish you a very good weekend and say that our Investor Relations people and our financial team are available to you if you need any further clarification as well as the other areas of the company: generation, transmission and distribution with Vlademir, Guetter and Luiz. And thank you very much, and have a good weekend.
Operator: Ladies and gentlemen, Copel's conference call about the results of the second quarter of 2014 is closed. Thank you very much, and have a good afternoon.